Operator: Good morning, good afternoon, ladies and gentlemen, and welcome to Besi conference call and audio webcast to discuss the company's 2025 second quarter results. You can register for the conference call or log into the audio webcast via Besi's website, www.besi.com. Joining us today are Mr. Richard Blickman, Chief Executive Officer; and Mrs. Andrea Kopp, Senior Vice President, Finance. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded and cannot be reproduced in a whole or in part without permission from the company. I would like to remind everyone that on today's call, management will be making forward-looking statements. All statements other than statements of historical facts may be forward-looking statements. Forward-looking statements reflect Besi's current views and assumptions regarding future events, many of which are by nature, inherently uncertain and beyond Besi's control. Actual results may differ materially from those in the forward-looking statements due to various risks and uncertainties, including, but not limited to, factors that are discussed in the company's most recent periodic and current reports filed with the AFM. Such forward- looking statements including guidance provided during today's call, speak only as of this date, and Besi does not intend to update them in light of any new information or future developments nor does Besi undertake any obligation to update the forward-looking statements. I would now like to turn the call over to Mr. Richard Blickman.
Richard W. Blickman: Thank you. Thank you all for joining us today. For today's call, we'd like to review the key highlights for our second quarter and 6 months ended June 30, 2025, and update you on the market, our strategy and the outlook. First, some overall thoughts on the second quarter and the first half year '25. Besi reported the second quarter revenue, operating income and net income of EUR 148.1 million, EUR 43.5 million and EUR 32.1 million, respectively. Revenue and operating results were at the midpoint of prior guidance in the mainstream assembly equipment market still affected by soft demand for mobile and automotive applications. Market development in Q2 this year was also affected by increased customer caution due to global trade tensions. Q2 '25 revenue and operating income grew sequentially by 2.8% and 10.7% respectively, as we saw an increase in shipments to Asian subcontractors for AI-related data center applications, combined with a 4.3% decrease in sequential operating expenses. Orders for the quarter decreased by 3% versus the first quarter as weakness in mainstream computing and mobile applications was partially offset by new orders for Besi's TCB Next system. For the first half year, revenue of EUR 292.2 million decreased by 1.8% versus the first half last year, reflecting broader assembly market trends as weakness in mobile and to a lesser extent, automotive end markets was significantly offset by growth in hybrid bonding systems revenue, which more than doubled versus the first half last year. Orders decreased by 17% due to the timing of customer orders for hybrid bonding systems and a lack of new product introductions in high-end smartphones. The first half '25 operating and net income decreased by 8% and 16.2% respectively versus the first half last year, primarily due to lower revenue and a 2.7 point reduction in gross margin from a less favorable product mix, adverse net forex effects from the decline of the U.S. dollar versus the euro and increased interest expense related to Besi's senior note issuance in July last year. Liquidity remains strong with cash and deposits EUR 490.2 million at the end of June 2025, increasing by 90.6% versus June 30, '24. The sequential decrease in cash and deposits at quarter end reflected the timing of the annual dividend payment along with the purchase of our Duiven, Netherlands facility for EUR 14.9 million. As of June 30, '25, EUR 72.2 million of the current EUR 100 million share repurchase authorization has been used to repurchase approximately 644,000 ordinary shares at an average price of EUR 111.96 per share. As of June 30, '25, Besi held approximately 2 million shares in treasury, equivalent to 2.5% of shares outstanding. Next, I'd like to discuss the current market environment and our strategy. TechInsights currently forecasts assembly market growth of 9% in '25, which is below last quarter's forecast of 13%, driven by a pushout of the anticipated mainstream assembly upturn to the second half of this year. Anticipated growth '25 is focused primarily on AI and data center logic and memory applications. They expect cumulative growth in the '26, '29 period of 63% based on continued advancement in AI use cases, new product introductions in '26, '28 period and a cyclical recovery in mainstream assembly applications. We expect to exceed market growth rates given our leadership position in advanced packaging. We believe the outlook for Besi's business in the second half 2025 has improved in recent weeks based on customer feedback and order trends subsequent to quarter end. Expanded CapEx budgets for AI infrastructure have been confirmed by each of the leading industry players in recent quarters with new use cases emerging in cloud and edge computing, along with co-packaged optics. Advanced packaging is one of the key ways to achieve AI systems differentiation, develop innovative consumer edge AI devices and provide the most energy-efficient data center performance. Advanced packaging demand for AI applications remains strong given new device introductions expected 2026 to 2028 period. We believe we are well positioned in the fastest-growing advanced packaging market segments, including data centers, photonics, AI-enhanced PCs and mobile devices and EVs/autonomous driving. As such, orders for hybrid bonding systems are expected to increase significantly in the second half '25 versus both first half '25 and second half '24 in both advanced logic and HBM4 memory applications as customers advance their technology road maps for new product introductions in '26 and '27. Customer interest in our TCB Next system for both memory and logic applications has also expanded significantly. TCB Next cycle times have improved with shipments anticipated in Q4 this year from orders received in the second quarter this year. We also anticipate increased orders for 2.5D advanced packaging systems for AI-related data center applications from both global IDMs and Asian subcontractors. In addition, there are early signs of a recovery in our mainstream assembly markets, principally related to increased demand by Asian subcontractors for high-end mobile applications and high- performance computing applications for consumer markets. Now a few words about the guidance. For the third quarter 2025, we anticipate that revenue will decline by approximately 5% to 15% versus the second quarter of this year based on the order book at quarter end. However, orders in the third quarter '25 are expected to increase significantly on a sequential basis due to increased demand for hybrid bonding 2.5D advanced packaging applications. Besi's gross margin is anticipated to decline to a range between 60% and 62% in the third quarter due to the adverse impact of a 12% decline in the value of the U.S. dollar versus the euro in the first half of '25. Operating expenses in the third quarter are expected to be flat, plus or minus 5% versus the second quarter despite increased R&D spending. That ends my prepared remarks. I would like to open the call for some questions. Operator?
Operator: [Operator Instructions] Next question comes from Nigel Van Putten from Morgan Stanley.
Nigel van Putten: Thanks for additional color on the expected hybrid bonding orders. So if I sum it up, second half is going to be stronger than both the first half of '25 and the second half of '24. That's helpful. Can I just tease you and ask what about the first half of '24 when you received a sizable order from one customer? Should we think similar ballpark, higher or lower? Any additional color would be helpful. And I have a follow-up.
Richard W. Blickman: Well, that's always hard to tell. It's usually orders in sequence, in lumps, as they call it, quarter-by-quarter, but it can be somewhat higher or somewhat lower. So what has been the trend so far? The highest we received was 26 from 1 customer in 1 quarter. And then typically somewhere between 12 and 20 in other historical, let's say, order patterns. But we also mentioned we don't expect from only 1 customer. We expect from other customers, but those are not bigger volumes. They are below 5 orders systems at a time. So your question is a very good one, but that leads to in summing that up somewhere in that range. But what is more important is that we also see continued adoption in more applications in logic, but also now an ever more serious commitments in the stacking of memories, the HBM4 also confirmed publicly by the Korean companies, and that could also lead to orders, which we have no clear visibility yet in respect to the intended volumes.
Nigel van Putten: That's really helpful. I have another question on the order book of -- you reported in the second quarter of '25. The orders out of China and rest of Asia are picking up, but rest of world, including Europe and U.S. dropped quite significantly. Now if I'm not mistaken, that's usually driven by 2 U.S. customers, one in mainstream compute and one in mobile, and you highlighted as much in the prepared remarks. But considering some worries in the market about especially that mainstream compute customer, should we expect this to remain at a lower level going into the rest of the year or maybe even next year? Like is there any additional color you could provide? Because yes, we both -- yes, I mean, I understand that conditions in especially mobile hasn't really picked up, but it is, I think, one of the weakest orders intakes from that region in a while. So any color will be helpful.
Richard W. Blickman: Yes. To add to your observation, in Europe, it's very much related to automotive industry being soft. But there are some early signs of some recovery for new products mainly. But Europe is, for that reason, low. U.S., clearly, 2 big drivers. One, the compute, and the other one, the mobile, but there's also other customers as we know. But the one you're referring to, which starts with an I and ends with an L, yes, we all know from daily publications that the situation is pretty unclear. One would expect based on similar situations in the past with companies in our industry that the outcome will be a continuation with the high end, with the applications, which also are next-generation technology. And you may expect less investment, and we already see that in the more mature and certainly the lower-end products. We are less involved in that second category already for many years. Our engagement is more at that forefront. So we are anxiously waiting and we're working day and night with that customer to see how the next round will be organized. For the time being, CapEx is very low. That's also publicly known, which may at some point turn because the demand for semiconductors doesn't change. On the mobile front, as we explained, for the outlook, we see certainly demand for new features in next-generation devices where we are clearly involved, which is very positive. that this year is a soft year so far is also clear. It's maybe a bit longer than what we had in previous cycles for high-end smartphones. Maybe that also has to do with the last peak in '21. So a longer-lasting, let's say, digestion of the features at that time. But there's a whole list, which is publicly shared of features expected in next-generation high-end phones, and that should be the market next year, where you see always initial [indiscernible] before.
Operator: Next question comes from Sandeep Deshpande from JPMorgan.
Sandeep Sudhir Deshpande: Just a quick question on your TC orders and the customer base there. I mean you announced some in Q2 and you're going to ship them later this year. I mean, I guess they are part of that improvement in orders that you expect in the third quarter. I mean, how broad is the customer base there? And is this going to be a significant contributor to your orders and the sales later this year or early next year? And I have a quick follow-up as well.
Richard W. Blickman: It's slightly different than what is in your mind. So we did receive from that customer in the second quarter, a nice order for 5 systems, 20 million plus. And as we indicated, the shipment is expected Q3, Q4, probably at the end of Q3, and it depends a bit on how the buyoff evolves, whether we are able to ship in Q3 or whether Q4. That's why there's this range in revenue between 5% and 15% less than Q2. Next orders from that customer may be expected after installation of these 5 lines and successful product launch. As we indicated earlier, it's for a memory application. And that could then lead to orders probably earliest Q4, but maybe more realistic in Q1. And that can be a sizable expansion. Then we are gaining traction with this TC system because remember, it's developed for the next generation below 20-micron bond pad pitch. The world today is somewhere around 30, 35 microns as we understand. And that finds its way into the logic space. There's data available published by IMEC in Belgium on our equipment, which even successfully has bonded devices with bond pad pitches below 10 microns. So that fills the world between the inevitable hybrid bonding shift and extension of the reflow process in a TC technology for the next many years to come. So successful so far in both -- because remember, the development started for logic to be ready below 20-micron bond pad pitch. And then being tested already for stacking memories, and this will be for HBM4, probably 3 and 4 because the system offers significant promise as we explained in the Capital Markets Day details. So I welcome you to look at that if you are interested in more details. But that's roughly the TC road map.
Sandeep Sudhir Deshpande: I mean just quickly on following up on your hybrid bonding road map. I mean there's this one memory customer who is looking at hybrid bonding for the HBM4 and beyond [indiscernible] or whatever. I mean, where is that in terms of qualification? Because that is, I think, at the moment, simply a pilot line. There is no production planned yet. So where -- is that on track you see? Or is it too early to say?
Richard W. Blickman: Number one, it's on track. And number two, if you follow the news in the last few days, it is both stepped up by the major Koreans, the 2, that they will have these hybrid versions available for customer sampling because simply the customers drive this demand. So that is in line with the road map we have understood '26 qualification and mainstream production towards the end and also certainly in '27. That is how the road map for HBM today, hybrid bonding looks like. So developing in certainly a positive way.
Operator: Next question comes from Didier Scemama from Bank of America.
Didier Scemama: I've got 2 questions. First question on, let's say, your main advanced packaging customer for logic customers. I think you mentioned that they opened, or they are about to open a second factory, which would need about 100 systems at full capacity. Given what you told us today in terms of order intake that should be meaningfully above in the second half. Are you confidence that, that factory will ramp in line with what you thought? I think you were thinking like it would take 2 years to fill in the fab. Has that confidence strengthened? Or is it still more or less the same as it was in the CMD?
Richard W. Blickman: Well, if you look at the recent publication of the financials from this customer, you could expect that, that time line is intact. There are no negative signals we understood. In addition to that, the global demand is the global demand. And with the issues with the U.S. customer currently, as discussed in the previous question, it could well be that the beneficiary of that is with the other customer. But that's all to be seen. Key is that the adoption is continuing and also gaining pace. On the other hand, TC stretch is also in place as we discussed also to the earlier question. There is no reason to answer your question in this way to have in 1 months’ time a different road map. It's more a positive confirmation as we read it than in another perspective.
Didier Scemama: Okay. Perfect. My second question is on gross margin. So Richard, I mean, just help us understand a little bit what happened in the gross margin this quarter? And maybe just give us your thoughts as to whether you will take any actions to improve the cost structure in COGS or how we should be thinking about gross margin in Q4 into next year? Should it go back to the 62% to 64% or even like the higher level that you were thinking about at the CMD?
Richard W. Blickman: Well, there are 2 aspects which are key to gross margin, as we know very well. Number one is pricing power. And pricing power in a world which is let's say, continued in, let's say, a softer mode is what it is. You can only distinguish yourself by better, yes, let's say, specs and cost of ownership. That's the way you succeed on the top line. On the cost side, it's a never-ending battle and a very positive one, where on the one hand, we are successful because it's a buyer's market today. On the other hand, with the development of the dollar as it did in the past 4 months, it is very hard to translate that immediately into, yes, let's say, least effect. But if we look at it, what happened so far that we more or less, yes, have between 2% and 3% effect of a dollar, which has declined by more than 12%. That still tells you that the first reason, the product positions allow that we adjust our prices, which are in euros because we are a euro-based company to, yes, different exchange rates. But it's -- and to say that again, your profit is in your cost. So everyone is extra challenged how can we improve our operating models for every one of our systems to improve those margins over time.
Didier Scemama: [indiscernible] Gross margins are going to go up then.
Richard W. Blickman: Well, that depends on 2 things. Number one, do we maintain the [indiscernible] position and does the dollar finally settle. But we'll enjoy that together, Didier.
Operator: Next question comes from Madeleine Jenkins from UBS.
Madeleine Denyse Jenkins: So I just have a few on the new flip chip tool that you announced at your CMD. I'm just kind of wondering when you're expecting to see the order ramp from this. And the comments you made about improving 2.5D demand, is this more kind of a share gain? Or is this actual kind of capacity being added? That would be interesting.
Richard W. Blickman: Well, that's an excellent question. Number one, it is not based on the new system. This is -- well, it's not old, but it's the top in the world, and we have, and we said that in earlier calls, a very high market share for these 2.5D, which are mass refloat. And that is, yes, continuing. So whether we gain share, I think we will because it's also broad as we explained. It's not only 1 customer. It's many subcontractors who are all tooling up. And they select our systems, which is also perfect. But then the new system, which you referred to, is going to be launched Q1 next year. It will have tighter specs. The current systems are somewhere in the 3-micron accuracy space. The new one is 1 micron accuracy. It also has other options. It's called Flex because you can -- the customer can handle more device types. It's a bit of combination of an MMA and a flip chip. But we explained some details in the CMD, but we're happy at another moment to show you some more details. That will -- that offers further expansion of market share because that's all directly tied to these 2.5D modules, which is the way forward. So yes, that's what it is.
Madeleine Denyse Jenkins: Perfect. And just, I guess, a follow-up on that. Is this also a tool that could be used in sort of high-end mobile applications? And when Apple changed their packaging, is this something that could be inserted?
Richard W. Blickman: Exactly. So it is for, you could say, chiplet type of architecture and also 2.5D, so stacked versions, which gives the customer more ability to combine different dyes to be placed and also components. So that fits exactly in those categories in the real mainstream high- volume consumer end products. In other words that whether that is mobile or edge AI, mobile, edge AI probably in other portable devices, that's where it's intended for. And at the same time, don't forget the glasses, the Google glasses, but now also others, that also is -- has a very strong focus.
Operator: Next question comes from Martin Jungfleisch from BNP Paribas.
Martin Jungfleisch: I have 2. The first one is maybe on the expected orders you were talking about. So can you just confirm that these orders or some of these orders have already been signed in early Q3? Or is there an expectation that these will be signed in Q3 or Q4? That is the first question. I have a follow-up.
Richard W. Blickman: Well, certainly, we have received already orders until date in Q3. And as was mentioned in one of the sentences, it also accelerated from the first day of the quarter. So customers decided not to place in Q2, but to place in Q3. So some of it, you can qualify as being ordered in Q3, which may have been ordered in Q2. But anyway, it certainly is abroad, as we said before, for many applications, and that should be significantly higher than the second quarter orders.
Martin Jungfleisch: Okay. And then just a follow-up question on the Q3 guidance and the full year. For Q3, you're expecting revenues to decrease quarter-on-quarter, but at the same time, you're also saying you're seeing early signs of recovery in the mainstream business. So how should we think about the seasonality of the mainstream business now for the next quarters given that signs of the early recovery? Is something different than over the past couple of quarters or past couple of years now?
Richard W. Blickman: Well, the emphasis is on AI and very careful certain areas like automotive, for instance, it does not further decline. You see some improvements. Same with high-end smartphones, which was very soft until May. So you see a pattern which may be similar to 2019, where we had a pickup towards the later part of Q3, which now may be a bit earlier coming out of a downturn. And that then if all goes well and TechInsights forecast should lead to a higher growth in 2026. That is what you could, let's say, analyze as a cyclical trend. But today, there's a lot more in the world happening, which makes this uncertain. On the other hand, people expect that by that time, we should have some more clarity. But anyway, your guess is mine.
Operator: Next question comes from Charles Shi from Needham & Company.
Yu Shi: Richard, I have 2 questions. Maybe the first one, you talked about the HBM-related hybrid bonding orders seems to be improving into Q3. And you talked about some of the recent news out of Korea. Based on our understanding, you do have a couple of tools of installed base at 2 of the HVM customers. You guys have made very significant progress there. But I think the burning question from me and obviously, from a lot of investors is any progress is with the HBM leader in hybrid bonding? And are they still in the phase of testing mainly in Singapore? And when do you think you can ship an evaluation system to that HBM leader?
Richard W. Blickman: Well, excellent. And you're absolutely right. That is a very important development to watch in this quarter. Number one, which is encouraging, is supposedly they have shared at a conference that hybrid bonding readiness is for them a must because their customers are demanding a hybrid bonded version. Then we know that -- and we've been developing this on an ongoing basis, that traction is gaining at the others. So as I said earlier, it is according to what we expect in our beautiful road map since about 4 years, all focusing on further adoption in '25, '26 and then having production devices available towards the end of next year and certainly in '27. That road map is what we hear. The activity around that is increasing and has increased this quarter significantly. And that's also in line with the publications. So Besi is part of that whole development. The only question is how much share will we be offered? Will this be yes, major? Are we the process of reference or somebody else? We don't know yet. But we are in a good position. The data we can achieve is very solid. Process window is increasing. So that looks promising.
Yu Shi: So maybe the second question I want to ask a bit more about the mainstream business. I think your first half '25 revenue is -- I mean, yes, it's down a little bit versus first half '24, but largely flat, let's call it flat. But you are saying hybrid bonding revenue doubled from the first half '24 level. Obviously, we don't know the hybrid bonding revenue baseline from first half last year, but it kind of implies a very big decline in the mainstream business in first half '25, my math is telling me it's down 20% from a year ago. And if that number is right, your mainstream business is basically back to the 2019 level. Is it right? Or is it that bad for the mainstream business in first half '25? And we really want to know like how bad the mainstream is. So the thing is the bad news today, maybe it will become good news tomorrow, but we really want to know. Yes.
Richard W. Blickman: Well, that's absolutely right. For certain areas, you're spot on. The industry and look at automotive is a beautiful example. Look at our key customers in that area. The world is not growing in that area. But then yes, let's be very positive about the development in the new area. So yes, you can also say it in this way. If we would not have the successful advanced packaging AI, the numbers would look different. Yes, certainly. But is that a concern going forward? We don't think so because if you look at our margins, still the new submicron business compared to the conventional business is still much smaller. So also the conventional business for new device development, whether it's in the lead frame world or whether it's in the substrate world, look at the flip chip success in many applications. Yes, it's at low levels, but they are very -- yes, successful new product launches, which should be increased in volume in the next round.
Yu Shi: Maybe, Richard, I just really want to confirm, is the mainstream really down 20% year-on-year in the first half '25 or higher or lower?
Richard W. Blickman: Well, we haven't figured out those numbers in detail, but it could well be somewhere around that. Chinese subcontractors were very low as well. So I would have to calculate to give you a precise number. But as a trend, it's certainly the case.
Operator: Next question comes from Martin Marandon from ODDO BHF.
Martin Marandon-Carlhian: The first one is on the mainstream business. I just wanted to know what do you think the next upturn will look like for the mainstream business and notably for mobile? Because in the past, I mean, we saw quite a brutal growth in the upturn in growth like 50% to 60% sometimes for the mainstream business. But maybe the pace of innovation in the mobile space has slowed down a bit to some extent. But at the same time, we see new edge AI functionalities, new type of chiplet packaging, et cetera. So just -- do you think the next upturn for mobile will look like the previous ones?
Richard W. Blickman: Well, it's also a very good question. Usually, with an extended downturn, the pattern is that the expected upturn is also lowered. We see that right now with Tech Insights numbers, which we shared that they lowered, of course, what happened this year so far, and then they lowered the forecast for next year. That always is following that same trend. And as when the tide turns, you will see the opposite. You will see on the one hand, a new product launch success, but then you also have a sort of catch-up investment around because not everything is new, and which is then unexpected. But that's typically how this industry works. So you have to analyze these cycles from the start to a next start through a cycle, how that forecasting develops. And it's very interesting that at the end, people start to look ever more dark to whether this is a growth industry at all. But somebody mentioned '19, I did also myself, I think. You had a similar sort of -- but then, yes, we had the abnormality of COVID. Whether this time we will have an abnormality, who knows? But that -- historically, we have this nice slide going back to 2006. You have these movements, 50-up, 50-plus-down is what happens.
Martin Marandon-Carlhian: Okay. Very helpful. And I have a quick follow-up on silicon photonics. Whether you think for the next couple of years, let's say, that the market -- the addressable market for Besi will be bigger for flip chip or for hybrid bonding tools because we know that hybrid bonding is addressing the -- will be addressing the switches notably, but flip chip, maybe the addressable market is bigger in terms of products because it's transceiver applicable, et cetera. So what do you think will be the bigger market for Besi?
Richard W. Blickman: Well, if you look at it today, you're absolutely right. Flip chip is the bigger market, and that could very well be continuing for the next 1, 2 years. But then when dimensions decrease, you will certainly move to hybrid bonding specs. And that is also developing very positively for us. So you have the -- yes, the 2 applications, one is the co-packaged optics, which is still a bit further out, and you have the connectors. Where we are involved since over a decade.
Operator: Next question comes from Timm Schulze-Melander from Rothschild & Co Redburn.
Timm Nikolaus Schulze-Melander: I had 2, please. Maybe just the first on the Gen 2 hybrid bonding tool. I think there was some talk that maybe it could be a kind of September type time frame, so maybe just kind of 6 weeks away. And I just really wanted to think about that time line. Might that cause customers to delay order placement? Or is the tool eval and sort of industrialization time frame sort of long and that it doesn't disturb near-term demand? And then I had a follow-up, please.
Richard W. Blickman: Well, excellent. We have always, let's say, qualified this first tool as a development tool. So it will take at least 9 months after shipments, probably a year before that tool has been qualified to use in production. So cannibalizing or changing is not foreseen in a year. But what -- if you look at that second generation has 2 main targets. Number one is to be able to place even precise than we place today. So from 100 to 150 nanometers. But then also -- and that's because it's also named Generation 2 explained in the CM -- Capital Markets Day, because of the design and also the dynamics and the balancing, et cetera, the machine should run with a larger process window, so a higher throughput, so reducing ultimately the cost of ownership. The cost of the machine is certainly higher than that of Generation 1-plus, the 100- nanometer. But that challenge we will face, which is a very positive challenge, hopefully, once the system is becoming in the stage where it is production qualified. So we will find out, and we will share in the next quarters the progress. Shipment probably early October, whether it's late September, I don't know yet, but you can see it on the floor. So it's getting there. But it's a real milestone in higher accuracy and especially because of stability, higher throughput.
Timm Nikolaus Schulze-Melander: Awesome. That's really, really helpful. And then maybe just one quick housekeeping one. I think in response to Didier's questions, you talked about euro pricing, but you also talked about FX impact on margins. Apologies if I missed it, but could you just maybe just help me sort of understand maybe the magnitude or what the mechanics are for Q3 or if I just misunderstood the pricing currency.
Richard W. Blickman: Well, we are, of course, in a dollar world. The semiconductor industry, for definition is a dollar world. Our business in the same way. So we set prices because we're a euro-based company in price in euros. We offer that to customers, and there's also always disclose when the exchange rate varies at time of ordering by plus/minus 2.5%, an adjustment is being requested. And that usually, let's say, because the swings are not that big, that usually can be organized. With the big swing we have had in negative sense for the dollar in the past 4, 5 months, that has caused some delay in that process. So customers have a certain price for a machine in their budgets in dollars and that price has to be increased. Since we are in a specific equipment business, these are not standard machines, only part of it based on many criteria, but also competition facing exchange rate issues, that settles at some point. And we have to be a bit smarter to build better machines and at lower cost. So that was my discussion with Didier. Well, that brings us to the end of the poll or is there one final question?
Operator: There are no more questions currently. We can now hand over for closing remarks.
Richard W. Blickman: Thank you very much. And if there are any further questions, don't hesitate to contact us. Thank you for attending. Bye-bye.